Operator: Good afternoon, ladies and gentlemen, and welcome to the fourth quarter 2008 earnings conference call. At this time, all participants have been placed on listen-only mode and we’ll open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Ethan Caldwell, General Counsel and Chief Administrative Officer. Sir, the floor is yours.
Ethan Caldwell: Thank you. Good afternoon, everyone, and welcome to Marchex's business update and fourth quarter 2008 conference call. Joining us today are Russell Horowitz, Chairman and Chief Executive Officer; John Keister, President; Peter Christothoulou, Chief Operating Officer; Michael Arends, Chief Financial Officer; and Matthew Berk, Executive Vice President of Product Engineering During the course of this conference call we will make forward-looking statements that involve substantial risks and uncertainties. All statements other than statements of historical fact included on this call regarding our strategy, future operations, future financial position, future revenues, and other financial guidance, acquisitions, projected costs, prospects, plans and objectives of management are forward-looking statements. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements and you should not place undue reliance on our forward-looking statements. Actual results or events could differ materially from the plans, intentions, and expectations disclosed in the forward-looking statements we make. There are a number of important factors that could cause Marchex's actual results to differ materially from those indicated by such forward-looking statements as are described in the Risk Factors section of our most recent periodic report and Registration Statement filed with the Securities and Exchange Commission. All of the information provided on this conference call is as of today's date, and we undertake no duty to update the information provided herein. During the course of this conference call we will also reference certain non-GAAP measures of financial performance and liquidity including OIBA, adjusted OIBA, adjusted EBITDA, and adjusted non-GAAP EPS. A reconciliation of these non-GAAP financial measures to the comparable GAAP financial measures is contained in today's earnings press release, which is available on the Investor Relations section on our website and definitions of these measures as used by us and the reasons why we believe these measures provide useful information are also contained in today's earnings press release. At this time, I would like to turn the call over to Russell Horowitz, our Chairman and Chief Executive Officer.
Russell Horowitz: Thank you, Ethan, and welcome everyone. (Technical Difficulty) Thank you, it’s Russell Horowitz and our call was not intended to be that short, so telecommunications hiccup aside, we’ll continue. Today, I’ll give you an update on Marchex’s business and outlook as well as highlights from the fourth quarter of 2008. Mike will walk through our financial performance and provide color on our financial outlook, and then John, Pete, and Matthew will join in during the Q&A. Let me begin by saying that the latter part of 2008 and the beginning of 2009 have been especially challenging for a lot of companies including Marchex. We believe Marchex is well positioned to come out of this current economic cycle in a strong position. When thinking about Marchex and the local advertising opportunity, I’d like to highlight a few things. One, the transformation of the local online advertising industry is universally recognized as one of the online industry’s biggest opportunities over the next three to five years. Two, Marchex is helping to solve the problems the local industry is facing by providing performance based advertising products with value transparency for advertisers. Three, while we want to understand all the factors relevant to our business, we are applying ourselves to the factors we can most directly control and point, including supporting our customers to world-class level. And Four, Marchex is playing to win. In the current uncertain economic environment, it’s very difficult to predict near-term business performance. While at Marchex we believe that we have a very promising future, some of our customers are experiencing significant challenges with their businesses and balance sheets. Many advertisers, particularly larger advertisers, are reevaluating their marketing budgets and deployment of available dollars over the course of the year leading to a variety of possible outcomes for the current and subsequent quarters. Despite these challenging conditions and short term uncertainty they present to Marchex’s 2009 outlook, we remain optimistic about Marchex’s long term opportunity. With that as a backdrop, I’d like to highlight a couple of dynamics we experienced in the fourth quarter. First, we continue to acquire local advertisers at a – (Technical Difficulty) hopefully, that’s the last of the telecommunications hiccups. So, getting back to our highlights for the fourth quarter, we continue to acquire local advertisers at a solid rate. In the fourth quarter of 2008, we added 5000 net new local advertisers through our enterprise perspective and direct sales channel. This gain was offset by a decrease in overall advertisers resulting from the legacy Voice Services customer who as messaged [ph] last quarter, completed its migration to another solution. While we feel it’s prudent for us to take a conservative view of the advertiser growth in 2009 given the fluid economic conditions, we believe we’ll continue to add thousands of new advertisers this year based on our ongoing progress and we’ll exit 2009 with a meaningfully larger base of local advertisers than the 70,000 we support today. There are three main reasons for this belief [ph]. One, advertisers are shipping dollars into the type of performance-based advertising products that Marchex delivers. Two, Marchex’s ability to deliver the intuitive and innovative products that the local advertising market is looking and asking for. And three, the focused operational clarity and considerable experience of our senior management team, which has a history of operating in both good and bad economic times. The second dynamic to highlight is that traffic levels in December were down from September primarily due to two factors. The first factor was seasonality, which led to fewer overall consumer queries for local business information in December relative to September and were similar to last year. And the second factor was a reduction in search referral traffic, which can happen from time-to-time in the normal course business and is difficult to predict. It is important to note that the decrease in traffic did not substantially impact revenue during the quarter. In the fourth quarter we continued to create greater efficiencies in Marchex’s business and keep a very close eye on our cost structure. Our experiences taught us that exercising financial discipline is always prudent, but it is particularly prudent in an uncertain market – (Technical Difficulty) hiccup. Something is happening beyond our control. Hopefully, this won't happen again, and we’ll create a contingency in the interim as we move forward. Again, as we discussed in the fourth quarter, we continued to create greater efficiencies in Marchex’s business and keep a close eye on our cost structure. Our experience has taught us that exercising financial discipline is always prudent, but it’s particularly prudent in an uncertain market environment where it becomes essential to winning the war of attrition. Consistent with these efforts and as previously announced, we recently put a new organizational structure in place that unites our sales, business development, partner management, and product development into a single organization. Peter Christothoulou, who had already taken on a number of operational responsibilities over the past years is leading this unified organization as our Chief Operating Officer. This realignment puts us in a stronger position to provide greater support to our partners and advertisers and speed our product innovation, both of which are core to supporting our long term growth and leadership objectives. Additionally, it will enable our President John Keister to put significant direct focus on securing additional strategic partners and further developing our existing customer relationships. He will also focus on further building Marchex’s customer focused culture with a goal of over-delivering for our key customers on a consistent basis. Lastly, it aligns our entire product development organization under the leadership of Matthew Berk as our Executive Vice President of Product Engineering. Matthew has a deep understanding of the opportunities in the local market and the vision, technical ability, and management skills needed to rapidly capitalize on them as well as the know-how to take our product innovation to a new level. With this organizational framework in place and the progress we made over the past year executing on our major operational and product milestones, we believe Marchex is in a strong position to build leadership in the local advertising market and continue to win high-value advertisers and partners. It is no fun in the short term to face the growth challenges caused by the current (Technical Difficulty). Alright everyone. Hopefully, this won't recur. We’ve switched phone systems. We’ll continue with the script. It’s no fun to have this conference call interrupted and at the same time it’s no fun in the short term to face the growth challenges caused by the current economic environment and the impact it’s having on certain large customers who are experiencing operational and capitalization challenges. However, we believe that these short term circumstances will not define Marchex’s opportunity over the intermediate and long term. In fact, while it may be hard to appreciate at the moment, we believe that given our strong business model and balance sheet, our opportunity to be a big winner in the local market may actually be enhanced over the long term because of the short term circumstances that are impacting everyone including our existing and would-be competitors. I want to stress that our belief in the local market is not predicated on the overall growth of local advertising as an environment. Rather, it’s our belief that local advertisers will continue to migrate their advertising dollars, performance-based online advertising, and emerging sources of distribution such as mobile. We believe this shift will be one of the most meaningful trends over the next several years because as other advertising mediums have shown advertising dollars invariably follow consumer behavior and also go to the business models and products that offer the greatest value transparency for advertisers. With that said, we continue to be laser-focused on position Marchex at the center of the local advertising opportunity. Recently, and over the course of the fourth quarter and 2008, we achieved a number of milestones core to building market share with key constituents, including with large enterprises that sell advertising to local businesses, with national advertisers who market locally and vertically, and also with consumers searching locally. First, we continue to innovate with Marchex Connect, our award-winning local advertising platform, which today fulfills more campaigns for local advertisers than any comparable solution in the market. In the fourth quarter, we added the capability to deliver budget-based click-and-call campaigns while continuing to deliver guaranteed click-based campaigns at unparalleled scale. This is a key step in capturing more of the local advertising dollars that are migrating online. We also expanded our reach by optimizing our Business Profile Pages to the most popular mobile devices on the market including the iPhone and Blackberry. With these pages, we seamlessly give our advertisers a turn-key way to reach mobile consumers while providing consumers with the local information they increasingly want their mobile devices. This capability, which unites our call capabilities with the scale and feature-richness that Marchex Connect platform delivers is a prime example of the type of product innovation we are able to deliver through our integration efforts. As a result of our ongoing progress in establishing Marchex as an innovator and leader in the local market, Google recently named Marchex as the first Google authorized technology platform provider. This means that Marchex Connect is the first and currently only local advertising platform that Google recommends to its Adwords resellers to fulfill search marketing campaigns for their local advertisers. We also continue to gain market share for Marchex Adhere, our premium performance advertising network recognized for its roster of premium vertical and local publishers. In 2008, we added more than 50 new publishing partners to Marchex Adhere with more than 20 added in the fourth quarter alone, including Advantage Business Media, National Review, and PBP Media. In the fourth quarter, we also added numerous mobile distribution partners, further diversifying what we believe is already one of the broadest distribution footprints in the market today. This continued momentum is a strong indicator of the differentiated value proposition we offer our advertisers and distribution partners. Additionally, we continue to innovate with our local search products, providing enhanced utility to consumers looking for local business information with our Business Profile Pages, which, as mentioned, support both an online and mobile consumer search experience. Our priority product initiatives in 2009 are geared towards serving the needs of our advertising customers and local consumers as well as positioning our products for long term local leadership. These initiatives include, one, further innovating on Marchex Connect for both large enterprise selling advertising to local business as they look for new ways to leverage their existing assets, maximize their online revenue, and meet their customers’ changing needs as well as for direct advertisers. This includes adding additional local targeting and budget-based advertising capabilities. Two, continuing to build our footprint of local and vertical and mobile distribution and adding new targeting capabilities to further position Marchex Adhere as a top media buy and distribution source for direct advertisers and enterprise partners alike. And three, releasing our next generation local search application later this year. We believe these initiatives are key to further positioning Marchex at the forefront of the local opportunity. Furthermore, as a reflection of our ongoing commitment to the Marchex opportunity and belief that our shares continue to represent a compelling value, we continue to be active with our share repurchase program in the fourth quarter, which Michael discussed in more detail in a moment. In the current uncertain environment, we are carefully monitoring our costs and are being prudent manager of our cash flow. Because of this discipline and the momentum our products continue to gain in the marketplace, we believe that when the economy and advertiser budgets return to a more normalized state, Marchex will be in a very good position to realize meaningful growth and operating profit margin expansion. With that, I would like to turn the call over to Mike.
Michael Arends: Thanks Russ. Before I begin, I would like to note that in the fourth quarter of 2008, our financial discipline in the face of a rapidly weakening economy enabled Marchex to produce $7.2 million in operating cash flow. Despite the challenging short term macroeconomic circumstances, we believe Marchex’s business will continue to generate solid positive cash flow, which will give us the ability to support Marchex’s strategic and operational initiatives while also giving us financial flexibility. Turning to details for the fourth quarter of 2008, revenue for the fourth quarter was $34.8 million compared to $37 million in the fourth quarter of 2007. Revenue from Publishing, otherwise known as our proprietary traffic sources, was $18.1 million. Revenue from Local Advertising Services was $16.7 million. The principal factors that influenced revenue in the fourth quarter were, one, lower overall budgets from advertisers, which impacted both Publishing and Local Advertising Services revenue. In the fourth quarter as well as in the beginning of 2009 we saw advertisers in several verticals reduce their advertising spending, including many in the finance, technology, and auto verticals. In addition, certain yellow page directory customers have been disproportionately by the macroeconomic conditions and were dealing with highly leveraged capitalization structures and challenged operational results as they evolve to meet the changing demand from local advertisers. As a result, we saw reduced overall spending from this category of advertisers in the fourth quarter. And two, consistent with the expectations laid out on our third quarter conference call, a decrease from our Sitebox product and the migration of the Voice Services customer noted earlier. Total operating cost excluding stock based compensation and amortization of intangible assets for the fourth quarter of 2008 were $29.3 million compared to $31.7 million in the fourth quarter of 2007. In looking at the mix in operating costs for the fourth quarter, our service costs, excluding stock based compensation, decreased as a percentage of revenue on a year-over-year basis largely due to the shift in revenue mix, which led to a larger mix in revenue coming from proprietary traffic sources. Excluding stock compensation expense, sales and marketing was $8.4 million. In the fourth quarter, on a year-over-year basis, sales and marketing included increased costs for brand-related marketing initiative and spending to acquire direct advertiser relationships. We also increased marketing for our local website on a year-over-year basis. Other operating costs for the fourth quarter included additional investment in product development and technology infrastructure on a sequential basis. Note that there was a $400,000 decrease in G&A on a sequential basis due to reversing performance-based amounts. While we continue to make investments that are critical to Marchex achieving leadership in the local advertising market over the long term, we are focused on our cost structure and driving additional efficiencies in our business during the uncertain near term. Adjusted operating income before amortization for the fourth quarter was $5.5 million. Adjusted EBITDA for the fourth quarter was $7.5 million. Adjusted operating income before amortization and adjusted EBITDA are two of the principal metrics we use to measure the progress of our business, liquidity, and our ability to generate cash. GAAP net loss applicable to common stockholders was $128.7 million or $3.67 per diluted share for the fourth quarter 2008. This compares to a GAAP net loss applicable to common stockholders of $744,000 or $0.02 per diluted share for the same period of 2007. It is important to note that we recorded an estimated $176.7 million non-cash goodwill and intangible assets impairment charge. As part of our annual assessment, we determined that the (inaudible) goodwill related to past acquisitions and investments exceeded our current fair value by this amount. This charge impacted GAAP results for the quarter and year ended 2008, but it did not impact the cash flow as we generated $7.2 million in operating cash flow in the fourth quarter and $26.5 million for the year. Adjusted non-GAAP earnings per share, and estimate some Wall Street investors utilize as a supplemental measure of our operating progress was $0.09 per share for the fourth quarter. Turning to the balance sheet, we had approximately $27.4 million cash on hand as of December 31st, 2008. During the fourth quarter, we expanded our share repurchase plan by one million shares and used approximately $7.9 million to acquire $1.4 million common shares and the remaining preferred shares, bringing our total shares acquired under our repurchase program to $6 million shares or 16% of our common shares outstanding. Additionally, during the quarter we sold a small number of non-strategic domains that yielded more than $400,000. There is still significant demand for high quality domains and we believe that will remain the case in 2009 and beyond. Importantly, we believe Marchex will continue to generate meaningful cash flow in 2009. We believe cash provided from existing operations along with the incremental cash we expect to generate from the sale of non-strategic domains, puts Marchex in a very good position of financial flexibility, going forward. In terms of financial guidance, based on the uncertainty caused by the near term macroeconomic and industry environment, we are not releasing guidance today. That said, items that are currently influencing our business include, first, many categories of advertisers continue to face significant uncertainty, which is impacting their near term financial outlooks. As a result, we are seeing a reduction in advertising budgets overall in the current quarter compared to fourth quarter of 2008 as advertisers adjust to a slower consumer environment. We expect this trend to impact both our Publishing and our Local Advertising Services revenue sources on a sequential basis. As noted, there is still a wide range of possible outcomes for the quarter and year, and we believe we are taking an appropriate view in an uncertain short term economic and industry environment. Second, we currently expect to see disruption with certain advertising customers from the yellow pages directory industry due to their spending slowdown and capitalization situation. We are monitoring this closely and are evaluating how circumstances may impact the level of their business we should be willing to support. This will impact their spending with Marchex overall, particularly on our Publishing assets. And third, regardless of these factors and the challenge they present to near term revenue outlook, we expect to generate a meaningful amount of operating cash in the current quarter. It is important to note that in the current climate, we are focusing our efforts on the things we can influence or control, which include our focus on winning high-value advertiser relationships, innovating with our advertiser and consumer-facing products, and gain efficiencies with our cost structure and organization. We believe these efforts will help us maintain financial flexibility in the short term while ensuring Marchex is well-positioned for operating leverage and growth over the long term. Despite the current environment and the noted business challenges that have resulted, we are in fact gaining traction in the marketplace and seeing growth with a number of our very strategic products including the Marchex Connect platform and our call-related products and services. This combined with new offerings such as our mobile Business Profile Pages continue to position Marchex as a leader in the local landscape. In the long term we see growth opportunities across all of our core products. I’d now like turn the call back to Russ.
Russell Horowitz: Thank you, Mike. Let me conclude by reemphasizing a few points regarding Marchex and the local advertising opportunity. One, the transformation of the local online advertising industry is being universally recognized as one of the online industry’s biggest opportunities over the next three to five years. Two, Marchex is helping to solve the problems the local industry is facing by providing performance based advertising products with value transparency for advertisers. Three, while we want to understand all the factors relevant to our business, we are applying ourselves to the factors we can most directly control or influence, including supporting our customers at a world-class level. And four, Marchex is playing to win. In a macroeconomic environment as challenging as the current one companies need to be willing and able to redefine the tactics of winning. Our team has learnt from past economic down cycles that to win you first have to win the war of attrition. While today we cannot tell you what Marchex’s financial performance will look like in 2009, what I can tell you is this – Marchex is focused on and will deliver increased value to advertisers and consumers. Marchex is building great products and Marchex is positioned to win market share and mind share in the local advertising industry in 2009 and beyond. Additionally, and importantly, Marchex has no debt. Marchex has a healthy cash position and while there maybe variability in our revenue in 2009, Marchex should continue to spin-off a significant amount of cash. The problems Marchex is solving in the local market need to be solved and over the next three to five years we will see a massive transformation of a $100 billion industry. If we continue focusing on serving the needs of advertisers and consumers in the transformational opportunity, we believe we will get our fair share of it. With that, we’d like to take your questions.
Operator: (Operator instructions) Our next question is coming from Christa Quarles. Your line is live.
Christa Quarles – Thomas Weisel Partners: Hi. First question, Russ, is just on the (inaudible) growth numbers in the local advertising market. I think you said in your script that clear reasons why Marchex is not necessarily directly correlated with that growth result, I was just wondering what third-party metric makes sense for us to look at and why or why not in terms of the way you correspond with those numbers. And then the second question I guess is on the share repurchase. Most of my companies even with hefty cash balance and cash generation are sort of pulling back and I am curious as to why you guys continue to feel confident enough to go forward with the share repurchase activity? Thanks
Russell Horowitz: Sure. To answer your first question, as we noted in the script, thematically we haven’t said and aren’t saying that local ad dollars are increasing. What we are saying is that they are moving from offline to online since the marketing dollars inevitably follow consumers, and that they are also moving into performance-based models with increased value transparency. And so when you look at that dollar shift, we think thematically we are solving the right problems and if we keep doing the right thing by our customers, despite some of the short term disruption, we can and will get our fair share of it. And that’s thematically what we continue to stay focused on and so when you look at some of kind of growth from (inaudible) associates as an example, there are (inaudible) of growth highlighted by different industry research firms, but we are kind of looking at the broader thematic in addition to some of those segmented growth areas to make sure we are applying ourselves to the areas we think have the most growth leverage exposure. In terms of our share repurchasing, we continue to spin off a lot of cash, our operations spin off a lot of cash, and we have the additional benefit of having a lot of value in our non-strategic domains that we think will be an ongoing source of incremental free cash generation. And our business is not capital-intensive. And so we think when you look at kind of the broader uses of our cash, it does make sense to maintain a certain cash balance, but at the same time we have and we’ll continue to have flexibility to buy our shares since we continue to think it’s one of the best uses of our cash as an investment.
Christa Quarles – Thomas Weisel Partners: And just a quick followup from me. The headcount reduction that you guys talked about the 4% in January, is there a dollar value associated with that? I mean I can make my own assumptions, but I didn’t know if you had a specific kind of run rate level that we should be thinking about.
Russell Horowitz: Why don’t I take a step back and actually go back into Q4 as well because that might be more helpful. If you look at the total headcount reductions, we are approximately from our high level in 2008 at the end of the year, we’re about 10% total down and if you look at from an average headcount level of 2008, we’re about 5% total down. And the 10% aggregate numbers is a little more than $3 million. And just to give you some context how we are looking at things, we are constantly looking for efficiencies in the business, and we do expect to realize savings. There is a revenue mix shift that is going on with us today. And given how that flows through to the bottom line we don’t know exactly how much of the saving will flow through to the bottom line. There is uncertainty as we’ve mentioned and articulated already. The key though for us is we’re continuing to look proactively for efficiencies. We will let the business performance dictate how we address the total bottom line flow through impact.
Christa Quarles – Thomas Weisel Partners: Okay, thanks.
Operator: Our next question comes from Eric Martinuzzi. Your line is live.
Eric Martinuzzi – Craig-Hallum Capital: Thanks. You reported a number in Q3 for the total number of customers. It was around 80,000. That included the Voice Services customers and I wondering I you could give us a normalized number for Q3 that we can compare to the 70,000 number in Q4.
Michael Arends: So, Eric, 65,000 would be the normalized number and we added a net incremental amount then to get to the 70,000 of about 5000 net advertisers in the fourth quarter.
Eric Martinuzzi – Craig-Hallum Capital: Okay. And then on the cash flow commentary, it’s a pretty wide gulf between the year that you just finished and the guidance here. By that I mean you are reporting a year where you did $26 million – $27 million of cash from ops and your commentary now is that you expect to be positive. You’ve used the adjective ‘significantly positive,’ but that – are we down 20%, are we down 50%, because you guys have – you’ve just gone through a headcount reduction that I am sure couldn’t have been a pleasant exercise, but having done that do you feel you’ve right-sized the business or are there other steps that you will need to take to get to that significant cash flow?
Russell Horowitz: Hey, Eric, this is Russ. When you look at where we are today, and you look at where we are organizationally set up, we really started this in late 2007 and have been building to kind of bring our businesses and our focuses together in a way that really positions our business to look at our customers first, and as every part of our business optimized to supporting our customers. And given that historically we have made some acquisitions, in addition to organic built businesses, we knew there were opportunities for efficiency. And then if you overlay kind of the recent macroeconomic backdrop clearly getting those efficiencies was always a priority, but it was even heightened. And we’ve in turn translated that into increased efficiency. Going forward, as Mike noted, we are going to let the business drive to a large degree where it makes sense to either take out cost or add cost as well as continue to take a close look where there are opportunities for greater efficiencies. When you look at our comments today, we are not providing guidance, but effectively assuring folks in our business model given the soundness and operating leverage it has, there are a variety of potential outcomes here because you look at a customer base across industries where there is financial instability and that translates to us having to consider a range of outcomes. In considering that we think it’s most prudent today to not provide guidance. To the extent we get a narrower view around our business and our outlook for the year we may subsequently do so. But I wouldn’t interpret too much in there because again there are a variety of outcomes, some of them aren’t so great, some of them are fine. And we need to consider that in how we are managing our business.
Eric Martinuzzi – Craig-Hallum Capital: Thanks for taking my questions.
Operator: Our next question comes from Ross Sandler. Your line is live.
Ross Sandler – RBC Capital Markets: Guys, just a couple of questions. Mike, can you talk about just in general terms the cost structure in terms of fixed versus variable and if you look at the scenarios for ’09 even in a worst case scenario that you guys are internally planning, what kind of margin degradation would we see in that scenario? And then I’ve got a couple of follow-ups.
Michael Arends: So, I think that starting point to answer the first part about half or 50% of the costs are fixed in the short term and the other half would be variable, obviously. Any fixed costs are, in the short term fixed, but in the intermediate-to-longer term a portion of that could obviously become variable. I think to answer the second part of your question, the key driver for us is for us to continue to proactively look for operating efficiencies in our business, and we are actively doing that and doing that on a proactive basis, and then other than that it really comes down to the business and the performance of the business that’s going to drive some of our decision-making of how we address the flow through of any mix shift on the revenue or any impact we have from customers spending less.
Ross Sandler – RBC Capital Markets: Okay. And I know you’ve not given any formal guidance, but can you guys help us with how the first quarter looks in terms of the first half run rate? You said you’re expecting both revenue lines to be down sequentially. Where are we half way through the quarter?
Michael Arends: I think the one thing we have said is we have seen, in general, advertiser budgets are down sequentially. So in the first part of the first quarter, we did note that advertising budgets are lower than what we saw in the fourth quarter. And I think that’s the framework that we can provide at this point.
Ross Sandler – RBC Capital Markets: Okay. And then there was a section in the last 10-Q that highlighted advertisers A, B, D, and E represent collectively about a little over 60% of accounts receivable. Are any of these guys yellow pages customers and based on your conversations obviously they are in a lot of stress right now. Do you think there is any risk that you won't see payment from those guys or can you talk about timing?
Michael Arends: So, Ross, the customers – we talked about Yahoo in the past, so Yahoo is one of those reference customers. For the most part the other customers are largely aggregated partners and yes some of them are definitely in the yellow page directory space. And I think for some of those partners, some of those customers they do have issues with their balance sheets and that has been publicly made available. There are issues out there and they are working through that, and that is part of the reason why we are in an uncertain situation. We don’t exactly what the impact is going to be on a go forward basis from the issues that are impacting them and their capitalization structures, and how they work through them. And I think that’ the best position I think we can share at this point.
Ross Sandler – RBC Capital Markets: Okay. And then last question and I’ll just – I’ll get back in queue. Russ, you mentioned in the earlier remarks you had a – on the traffic side, you had a reduction in referral traffics from the search engine. Was that organic or was that you guys were doing less marketing initiatives? And if it was on the organic side was that some kind of–?
Russell Horowitz: Yes, that reference was to a lower level of referrals from search engines, search engine inclusion and that can happen from time-to-time for a variety of reasons kind of in the course. So there is nothing there that we see as being particularly noteworthy. And the other part we noted was seasonality. The visitors task [ph] we give are the last month of each quarter. And December historically has been seasonally lower than September. It was the case in 2007. It was the case again in 2008. And so, if you look at that, I’d say that was the most prominent influence, was seasonality. And then there was a lower level of search engines referrals. That tends to normalize over time and there is nothing acute or specific we’ve seen that we could even translate for you. It’s pretty ordinary course.
Ross Sandler – RBC Capital Markets: Okay. Thanks guys.
Operator: (Operator instructions) Our next question is coming from Dan Salmon. Your line is live.
Dan Salmon – BMO Capital Markets: Hey guys, I just want to get back to this yellow page partner issue a little bit more and I think understand there capital structure issues are going on there, but can you maybe help us understand how we go from – their specific issues with their capital structures and their broader revenue trends to how that filters through to you and some of the interactive tools that you offer that theoretically that should maybe be driving their local customers into a little bit more and just help us connect the dots there a little bit.
Russell Horowitz: Sure. We don’t think what’s happening right now with – there are some of these folks who are just diversified companies and well capitalized and there are some who are highly leveraged and are currently more exposed. And we are referring to the latter not the former. And the longer term trend and intermediate term trend we think is very favorable to Marchex when you look at ad dollars flowing and in terms of advertising spend and consumer behavior. But on a short term basis, while we are in the right trend of their overall business, their capitalization is influenced by the performance of their entire business. And so there is specific we are saying today, we need to be prepared that their broader business circumstances can influence some of their short term decisions or in turn what’s the appropriate level of business we should support with them is based on accounts receivable balances, et cetera. And so prudence dictates given the conditions and the environment that we look at what our risk exposure is to some of the balance sheet issues separate from the thematic trends around local advertising. And so that’s largely what we are communicating today.
Dan Salmon – BMO Capital Markets: Okay. That’s helpful. And then on that variable cost structure side versus traffic acquisitions in there, any significant changes in the dynamics going on there that you can share with us?
Michael Arends: I think the revenue share is very little part of the traffic acquisition costs. For the most part it’s still playing out as we expected and we don’t see a real significant change in 2009 at this point.
Dan Salmon – BMO Capital Markets: Okay. Thank you.
Operator: Our next question is a follow-up from Ross Sandler. Your line is live.
Ross Sandler – RBC Capital Markets: Hi, just one last one, just kind of comparative dynamics in the industry. Are you guys seeing anything given the environment how tough it is out there, are you seeing less competition from some of the smaller start-ups or is it still kind of the same, and can you just talk about that for a second?
Russell Horowitz: Yes, as we mentioned in the main part of today’s call, the short term challenges kind of apply to everybody in just about every industry. And when you look at the longer term, as we noted, it’s hard to think about right now, again just given what a lot of companies are going through and on a relative basis we feel like we are in a pretty healthy position and we are exposed to the right industry thematically. But there may actually be advantages because we clearly are looking for points of efficiency. We think we can play some (inaudible) on winning market share and customer relationships, and at the same time our competition in most cases seems to be playing more decent against flawed business models or viability. So that’s what is the key themes. And the second part, of course, is our would-be competition just simply doesn’t have access to capital. And so when you look at the universe of potential partners, they clearly have to put a heightened value on companies that are financially strong as well as investing in their products. And so on a relative basis, we continue to invest more in our products than any other provider. And we are in a better financial condition than any other provider. So, we do think some of the short term circumstances actually enhance and my accelerate our position when you look at local leadership. And that’s where we are keeping our focus is in being practical in trying to manage the risks of our business similar to other companies, but at the same time recognizing we are in a window that can actually translate to enhance opportunity if we can maintain the proper focus. And that’s where our heads are.
Ross Sandler – RBC Capital Markets: Thanks.
Operator: (Operator instructions).
Russell Horowitz: Well, to wrap it up, I – thankfully the iPhone with an APC wireless connection turned out to be reliable. We appreciate you all working through the hiccups of some of phones system issues. And again we feel there is very promising opportunities and despite some of the risks that need to managed in the short term we appreciate your continued interest in Marchex and we do look forward to communicating as we make progress in 2009. Thank you again.
Operator: Thank you, ladies and gentlemen. This concluded today’s teleconference. You may disconnect your phone lines at this time. Have a wonderful day. Thank you for your participation.